Operator: Greetings. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Brad Anderson, Amtech's Chief Financial Officer. Please go ahead.
Bradley C. Anderson: Thank you, Andrew. Good afternoon and thank you for joining us for Amtech Systems' Fiscal Year 2015 First Quarter Results Conference Call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the first quarter fiscal 2015 ending December 31, 2015. That earnings release will be posted on the Company's website at amtechsystems.com. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors, which could cause actual results to differ materially from those in the forward-looking statements, are changes in the technologies used by our customers and competitors; change in volatility and the demand for our products; the effect of changing worldwide political and economic conditions, including government-funded solar initiatives and trade sanctions; the effect of overall market conditions, including the equity and credit markets and market acceptance risks. Other risk factors are detailed in our Securities and Exchange Commission filings, including our Form 10-K and Forms 10-Q. J.S. Whang, our Executive Chairman will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer will update you on strategic progress made in our first fiscal quarter and I will then discuss the quarterly financial results and outlook. I will now turn the call over to J.S. Whang, our Executive Chairman, to begin the discussion.
Jong S. Whang: Thank you, Brad. Thank you for joining us today. As we discuss Amtech's fiscal Q1 2015 financial results. For those of you who have joined us before we thank you for your ongoing interest in Amtech. We are also excited to welcome those who became Amtech shareholders on Friday of last week when we closed on our acquisition of our BTU International. We have meaningfully increased the pressure of our product portfolio and have further diversified Amtech’s market exposure through our acquisition and innovation strategy over many years. We continue that same strategy with the combination of Amtech and BTU International. But joining over this force positions us very well for an exciting future and long-term profitable growth. Together, we have a robust portfolio of key technologies and products with both strong semi and solar business platforms and greater potential for a more consistent cash flow statement which further strengthens our ability to support Amtech’s solar growth opportunities. So if I turn the discussion over to Fokko, as noted I want to welcome our new shareholders and the leadership and talent throughout the BTU. We are stronger together and I look forward to enjoying many successes as the result of the combination of our two market leading companies now ready to capitalize on our organizational strength and global opportunities. Fokko will now discuss what is happening in the marketplace and Amtech’s go forward plan for our now bigger and even more exciting company. Fokko?
Fokko Pentinga: Thank you, J.S. I too would like to welcome our new employees and shareholders to today’s call. And to those of you who have joined us in this past, we look forward to tell you about our progress since our last call. As J.S. said we are excited to have announced that we are closing the acquisition of BTU International. There is a good integration plan already underway and expect a smooth process. We now have greatest scale and expect to benefit from the synergies we have previously discussed. We are excited about the combination of Amtech and BTU as it expands our technology portfolio, it gives us a broader end market diversification enhances our financial profile to support our growth trends. We are also very excited about our investment in SoLayTec, it provides a state-of-the-art technology for high efficiency solar cell solutions including PERC. SoLayTec’s ultrafast ALD, and ALD stands for atomic layer deposition is a key component and combined with the Tempress PECVD systems provide a very competitive solution for [indiscernible] to solar cell manufacturers. Although, we generally don’t comment about stock price, it seems that solar stocks have come under pressure as oil and gas commodity prices have fallen. It’s important to understand that we don’t see lower fossil fuel prices as risk for renewables, when specifically it is clear solar is a very key component within the world’s energy mix and to geopolitical agendas. Countries across the globe focused on the longer term need for clean energy alternatives and focus for solar to grow at very fast phase in the coming years. We remained very encouraged by our customers ongoing high level of interest in and broad support over the next generation continuously advancing solar solutions. Now back to Amtech’s first quarter. As in prior quarters we again saw a progress, customers orders totaled $30 million including $20 million of solar orders. And in the months of January we added another $12 million to the order book bringing our fiscal year to-date orders to a healthy $42 million. Although, capacity expenses are still somewhat selective we are definitely seeing interest in both expansions and the upgrades of production lines. In 2015, we look for more of the same and what I would describe is in an environment providing incremental improvements and clear progress. In 2015, we will continue to invest in R&D and our ongoing product develops to further collaborate with our research partners and our covenant perspective market leading customers to advance solar cell technologies and bring higher efficiency, lower cost of total ownership next generation technologies to [indiscernible] marketplace. We are excited about the companies future and our potential to sustain our leadership in our key technologies and grow our market share and our broader product portfolio. I will now turn the call over to Brad to discuss the first quarter’s results.
Bradley C. Anderson: Yes, thanks Fokko. Net revenue for the first quarter of fiscal 2015 was $12.4 million compared to $19.8 million in the preceding quarter and $14.8 million in the first quarter of fiscal 2014. Sequentially the decrease is due to lower recognition of previously deferred revenue the decrease compared to Q1 fiscal year a year ago is due primarily to lower shipments to the semiconductor industry. Our total customer orders in the first quarter of fiscal 2015 as Fokko mentioned were $30 million including $21.1 million of which was solar, up from total orders of $11.2 million in the fourth quarter of fiscal of 2014. This also compares total orders of $9.8 million in the first quarter of fiscal 2014. At December 31, 2014, our total order backlog was $48.3 million, compared to $28.5 million at September 30, 2014. Our total backlog at December 31, 2014, includes $37.5 million in solar orders and deferred revenue, compared to solar backlog of $20.9 million at September 30, 2014. Foreign exchange caused a $1.3 million decrease in our backlog in the December quarter due to the weakening of the Euro versus the U.S dollar. Backlog includes deferred revenue and customer orders that are expected to ship within the next 12-months. Gross margin in the first quarter of fiscal 2015 was 28%, compared to 13% in the fourth quarter of fiscal 2014 and 31% in the first quarter of fiscal 2014. Margins improved sequentially because the margins in the fourth quarter of fiscal 2014 reflected recognition of lower margin products as well as lower shipment volume. The slightly lower margin compared to a year ago resulted primarily from lower levels of solar and semiconductor shipments, partially offset by higher recognition of previously deferred profit and utilization of previously written-down inventory. Our SG&A expenses in the first quarter of fiscal 2015 were $6.4 million compared to $4.9 million in the previous quarter and $4.1 million in the first quarter a year ago. The increase results primarily from expenses related to activity leading to the acquisition of BTU International and SoLayTec, as well as increased commission expense resulting from higher commission rates on certain sales. Research and Development expense was sequentially flat at $1.8 million in the first quarter of fiscal 2015 and in the preceding quarter, this compared to $900,000 million in the first quarter of fiscal 2014. The higher R&D expense versus a year ago is primarily due to a decrease in the recognition of government grant funding. Depreciation and amortization in the first quarter of fiscal 2015 was $705,000, compared to $613,000 in the preceding quarter and $623,000 in the first quarter of fiscal 2014. Included in the first quarter of fiscal 2015 results is $232,000 of stock option expense compared to $192,000 in the preceding quarter and $176,000 in the fiscal first quarter a year ago. Income tax expense in the first quarter of fiscal 2015 was $180,000, compared to tax benefit of $645,000 in the fourth quarter of fiscal 2014 and tax expense of $560,000 in the first quarter of fiscal 2014. Despite a pretax loss for the quarter we’ve recognized tax expense due primarily to losses in tax jurisdictions but we cannot recognize tax benefits. The net loss for the first quarter of fiscal 2015 was $5.2 million, or $0.53 per share, compared to a net loss of $3.2 million or $0.33 per share for the fourth quarter of fiscal 2014. The net loss for the first quarter year ago was $800,000 or $0.8 per share. Total revenue by geographic region for the first quarter was North America region 23%, Asia-Pacific region 51% and Europe at 26%. Our financial position remained strong with total unrestricted cash and cash equivalents of $28.6 million, compared to $27.4 million at September 30, 2014. At December 31, 2014 we also had working capital of approximately $24.7 million. I would now like to take minute and talk about our outlook for this fiscal year. Due to improved bookings in backlog and the recent acquisition of BTU. We anticipate net revenue for the quarter ending March 31, 2015 to be in the range of $24 million to $26 million. This will include approximately two months of BTU financial results. Gross margin in that quarter is expected to in a low-20s percent range negatively influenced by anticipated revenue deferrals as revenues ramp up. Operating margin for the quarter ending March 31, 2015 is expected to be negative, but improved from the quarter ended December 31, 2014. For the second half of fiscal 2015 we expect gross margins to migrate to the low 30% range and to positive operating margins. It is important to note that our operating results could be impacted by the timing of system shipments, the net impact of revenue deferral on those shipments, and recognition of revenue based on customer acceptances, all of which can have a significant effect on operating results. Operating results could also be significantly impacted by the timing of recognition of government grant revenue related to research and development projects in China and The Netherlands. A substantial portion of our revenues are denominated in Euros. The revenue outlook provided in this press release is based on an assumed exchange rate between the United States Dollar and the Euro. A significant decrease in the value of the Euro in relation to the United States Dollar could cause actual revenues to be lower than anticipated. Finally, I would like to report to you that the integration plan with BTU is progressing well with some items ahead of schedule. We have already started to see labor savings and reiterate our guidance of $4 million to $5 million of overall cost saving within 12 months post closing. This concludes the prepared remarks portion of our conference call. Operator, please open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Sven Eenmaa from Stifel. Please go ahead.
Sven Eenmaa: Hi, thanks for taking my question and congratulations on nice start of the year with the closing of the deal and the new orders. My first question was in terms of now that you are seeing a lot of the trade case related uncertainty kind of moving into the past and that should be clearing here a little bit whether your customer is thinking in terms of a capacity expansion as they go into 2015.
Bradley C. Anderson: Sven are you referring to that - when you said trade cases, right.
Sven Eenmaa: Yes.
Bradley C. Anderson: Okay.
Sven Eenmaa: Yes, I’m talking about solar side obviously.
Fokko Pentinga: Like we said it’s still very selective, but also some of our customers are selective in where they are doing these expansions and we indeed see more interest not only there, but also activity to build production capacity outside of China in order not to be restricted in their sales to the U.S. and Europe and that is something that is really happening now, last year there was more talk and now it’s really going into action if you see the amount of capacity expansion of volume. That’s hard to give a good answer on, because it’s a combination of expansion and improvements of capacity. So if you have a capacity that’s not really giving sufficient efficiency and you basically build for inventory that you can’t sell anymore well that expansion increasing that efficiency really is more important than expanding for that customer. So it’s really that mix.
Sven Eenmaa: Great, that’s encouraging. And now in terms of the BTU side could you quantify how much of that revenue guidance you provided for the first quarter is going to be BTU?
Bradley C. Anderson: Sven, if we look at what we see for BTU I think historical recent history for them as far as on the revenue side is pretty consistent with what we looked at going though up until the closing I think looking historically is pretty consistent.
Sven Eenmaa: Got it. And in terms of when you discussed the gross margins moving above the 30% level, what is the soon mix there between obviously you have a reflow under the broader semi portfolio versus the solar?
Bradley C. Anderson: Well, you can see by our backlog that we put in we have I think over $30 million in solar backlog that would be coming through over the next several quarters, so there will be a healthy mix of both that and the reflow business and other thermal products that BTU provides. So it’s a healthy mix of both.
Sven Eenmaa: Very good and last question I just wanted to ask on BTU side is what is the balance sheet impact here, how much of debt and how much cash will they contribute on a pro forma basis?
Fokko Pentinga: Well, their debt is primarily just the. mortgage on the building which was in the $7.5 million range and then cash was ion the call it high single digits about $9 million worth of cash.
Sven Eenmaa: Got it. Thank you very much.
Bradley C. Anderson: Welcome. Thank you.
Operator: The next question comes from Mark Miller of Noble Financial Capital Markets. Please go ahead.
Mark Miller: Let me and my congratulations on your orders, I just like to pursue a little bit more, just for trying to plan about margins. In terms of backlog, is it possible to give some feeling for the make up of the backlog in terms of implant PVD and furnaces, right now there has been more furnace than PVD and implant or roughly what ratios?
Bradley C. Anderson: Sure Mark it’s probably within between diffusion furnaces and PECVD that’s a little bit heavier to diffusion and then you have got quite of some PECVD and then the smallest part of the backlog will be the ion implant.
Mark Miller: And am I correct in saying that the furnace margins are higher than the other two tools?
Bradley C. Anderson: Just because of the other two tools being new, especially the ion implant, this is one of our getting up some production tools, so the efficiency of production for the diffusion furnace would be better than their PECVD and ion implant, so yes it’s a correct assumption.
Mark Miller: Can you give us, I know its something – that’s why implants but how is the ramp going towards high efficiency n-type, is that progressing as you believe and can you give an estimate by the end of this year what percentage of modules will be the high efficiency n-type, I assume its low so?
Jong S. Whang: Well I wouldn’t be able to give you the last one saying how much percent of the panels would be in the n-type, but what is definitely be seen is that more and more customers are moving to n-type not in exchanging their complete production, but changing one line after another to n-type and start building also not only the product, but also the market for it and so last year we saw very few moving over while last year more in 2013, but it now really starts to move over to build to n-type, but its not that you see gigawatt all of a sudden change, it’s a few lines here, few lines there, but quite a few are starting production.
Mark Miller: And for the remainder of this year your tax liability I assume that will be in low single-digit percent?
Bradley C. Anderson: Yes, there are some discrete tax items we always have to deal with, but it depends on where you are at from profitability standpoint and that can have a significant impact on your effective tax rate. But things that we start turning and generating income in last jurisdictions that will start to benefit us.
Mark Miller: And finally, you mentioned there was a exchange impact on the backlog or any other significant impact due to exchange rate changes on your results?
Bradley C. Anderson: Just overall our 10% in RTT operations, so our European operations have both revenues and essentially all cost in euros. So we don’t have really much exposure from a P&L standpoint. Its just as the euro weakness against the dollar that will just shrink both assets and liabilities revenues and expenses from those operations and to the extent that euro strengthens against the dollar it inflates, but overall very little are called P&L exposure, because of any euro not exposed without the dollar or dollar exposed without the euro.
Mark Miller: Thank you. And once again congratulations on the progress on the orders.
Bradley C. Anderson: Mark, thank you.
Mark Miller: You’re welcome.
Operator: [Operator Instructions] The next question comes from Gordon Johnson of Axiom Capital Management. Please go ahead.
James A. Bardowski: Hey, guys, this is James Bardowski in for Gordon.
Bradley C. Anderson: Hello, James.
James A. Bardowski: Congratulations on a pretty decent quarter and good job on the bookings. Just have a couple of follow-up questions, if you will. Do you have any outlook as far as semiconductor side I know you mentioned that there was a little bit of trouble that I gave you in this most recent quarter?
Bradley C. Anderson: Yes, I think trouble referring to assist the comparison between that and I think a year ago, we had some higher shipments in the December quarter a year ago, but that’s really just a lumpy from time-to-time that a couple of key customers and to the extent there is more orders in a quarter and shipments that tends to bring us up or down quarter-to-quarter. Overall, I’d say our semiconductor business is solid and continues to provide a nice baseline and foundation for our growth plans in solar.
James A. Bardowski: Great. And then real quick I know you mentioned for the R&D expense, the expiration of government grants primarily related to the increase or are there any other grants that are in the pipeline for you? Anything else I can keep it there?
Bradley C. Anderson: Sure, just to clarify there is a timing with regards to the recognition grant revenue, we receive the money and then we have to complete to put programs or projects and then there is a timing of when we recognized those revenues, those funds that already been received and there is essentially a accrued liability for those unearned or unrecognized I should say grant revenue on our balance sheet and the timing is we incur some cost, but then we don’t necessarily record all the revenue that came from the government. So there is some revenue recognition that occurs from time to time that would offset our R&D expense and that can have an impact on a quarter-to-quarter basis.
James A. Bardowski: Okay, that’s fair…
Bradley C. Anderson: Online as we’ve been may be – been very conservative on how that’s being recognized, so there is still some to be recognized.
James A. Bardowski: Okay, and then I guess finally, could you provide any color on your D&A and CapEx expense for the next quarters particularly in light of the BTU acquisition?
Bradley C. Anderson: Can you say that question again.
James A. Bardowski: Just if you could provide any color on your D&A expenses as well as CapEx I know it’s small?
Bradley C. Anderson: Yes, the D&A depreciation and amortization there is probably call it another $500,000 $800,000 of depreciation amortization is coming from BTU, CapEx will continue to be low, now there is incrementally what we are adding there is for this rest of fiscal year will be relatively small.
James A. Bardowski: Okay, excellent. Congrats again on the quarters gentlemen and I’ll follow up offline.
Bradley C. Anderson: Thank you. End of Q&A
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brad Anderson for any closing remarks.
Bradley C. Anderson: Thank you for your time today and for your interest in Amtech. This concludes today’s call.